Operator: Welcome to the Fiserv 2020 Second Quarter Earnings Conference Call. [Operator Instructions] At this time, I will turn the call over to Peter Poillon, Senior Vice President of Investor Relations at Fiserv.
Peter Poillon: Thank you and good afternoon. With me on the call today are Jeff Yabuki our Executive Chairman; Frank Bisignano, our President and Chief Executive Officer; and Bob Hau, our Chief Financial Officer. Our earnings release and supplemental materials for the quarter are available on the Investor Relations section of fiserv.com. Our remarks today will include forward-looking statements about among other matters, the impact of the COVID-19 pandemic on our business, expected operating and financial results, strategic initiatives and expected benefits and synergies from the First Data acquisition. Forward-looking statements may differ materially from actual results and are subject to a number of risks and uncertainties. You should refer to our earnings release for discussion of these risk factors. Please refer to our earnings release and supplemental materials for an explanation of the non-GAAP financial measures discussed in this call along with the reconciliation of those measures to the nearest applicable GAAP measures, unless stated otherwise performance references made throughout this call are year-over-year comparisons and all references to internal revenue growth are on a constant currency basis. Also, note that non-GAAP financial measures in our earnings release and supplemental materials include the three and six months ended June 30, 2019 results for First Data, which have been prepared by making certain adjustments to the sum of historical First Data and Fiserv GAAP financial information. Lastly, we're holding an Investor Day on December 8th in New York City to share our strategic vision, while we intend to host the event in person with appropriate protocols as circumstances allow, we'll also prepare to broadcast the content for those who prefer that approach. We look forward to seeing you at this important event. And now I will turn the call over to Jeff.
Jeffery W. Yabuki: Thanks, Peter, and good afternoon everyone. A lot has changed at Fiserv's since we announced Q1 results. Coming off, tremendous financial performance in January and February, we hit the COVID-19 cliff in the second half of March which further worsened in April. At our May 7th call, we shared our thesis that April would be the likely trough and we expected to see gradual improvement from there and that is exactly what has happened. Each month revenue has improved sequentially from the lows of April and culminated with a return to internal revenue growth in July. Clearly, the results are not what any of us expected prior to the pandemic. However, we are quite pleased with our overall performance, the resilience and strength to produce nearly $900 million of free cash flow in the quarter, and tremendous sales momentum, which reinforces our market-leading value propositions and further positions us for accelerated growth. We successfully completed the dissolution of the BAMS joint venture on July 1st. As part of this, we welcomed nearly 120,000 direct clients to Fiserv and inked the new processing agreement with the bank as their provider for Merchant Services. We are grateful to Bank of America for their partnership and are excited about our future. On July 29th we marked the one-year anniversary of closing our historic merger. We've made tremendous integration progress while continuing to invest in our future. We've also gained significant confidence in the size and scope of the opportunity and wrapped up a series of first year accomplishments including generating $3.5 billion of free cash flow. We allocated more than $1.7 billion to share repurchase, well ahead of schedule and also repaid $1.1 billion of debt. We raised our cost synergy target by a third to $1.2 billion and increased our revenue synergy goal by 20% to $600 million, and of that in the first 12 months we have actioned $750 million of cost synergies and $160 million of revenue synergies. Interest expense has been reduced by nearly $290 million annually, which when combined with synergies actioned is more than $1.1 billion of run-rate pre-tax earnings in the first 12 months of what was originally set as a five-year journey. And sales, as measured in annual contract value, grew 15% over the prior year, supporting the power of our combined value proposition. Overall, these proof points are representative of our commitment to delivering on the promise of Fiserv in the client's office, harnessing the power of the best associate team in the industry and delivering sustained above-market returns for our shareholders. And last, we effectuated a seamless CEO transition to Frank on July 1st, seamless because Frank and I have been working closely together since the transaction was announced as we are today. And seamless because Frank continues to bring his leadership and commitment to deliver superior results against our proven Fiserv shareholder value creation strategies. As both an advocate and large shareholder, I assure you that the company is in fantastic hands with Frank at the helm. With that, let me turn the call over to our new CEO.
Frank J. Bisignano: Thanks, Jeff, and good afternoon everyone. Let me start by thanking Jeff for his tremendous partnership since we started talking about merging our two great companies almost two years ago and working closely together the last 18 months on the integration. I'm excited to lead this great company, which Jeff has led brilliantly for the last 15 years. While we, all of us, have been navigating the global pandemic, Fiserv has faced those challenges with a clear mandate of serving our clients with excellence, while keeping our associated safe and healthy. The great progress we've made on those fronts is manifesting in accelerated integration, improving results and much stronger than anticipated sales. Importantly revenue has shown sequential improvement each month since April bow. In June, we saw just 1% decline in internal revenue and we returned to internal revenue growth in the month of July. As Jeff mentioned, we have made great progress in the first year actioning over $1.1 billion of incremental pre-tax earnings as new Fiserv and we are highly confident of the additional value ahead. In addition to our financial accomplishments, I'm thrilled with how our value proposition is coming together in the client's office. We closed a number of terrific deals in the second quarter, with sales up a very strong 38% over the prior year and 20% year-to-date. Our excellent momentum continued into July with two important competitive takeaways in our credit card processing business. We were selected to provide issuer processing solutions by Atlanticus Holdings and Genesis Financial Services, both leading providers of consumer credit solutions. And each on their own would rank among the top 25 largest card portfolios in the U.S. based on active accounts. Larger issuer's choose Fiserv for a variety of reasons, including our highly configurable processing platform, breadth of integrated digital solutions, and a client-centric approach. We expect both of these important clients to go live with our market-leading solutions next year. The resilience and diversity of our revenue was evident in our second quarter as we navigated a very difficult macro environment and generally delivered results above internal expectations across most key performance measures. Internal revenue declined 7% in the quarter and is down only 2% for the first half of the year. This performance is a strong testament to the great work by our people to deliver value for clients, regardless of the difficulty in the end market. Adjusted earnings per share in the quarter was down 4% to $0.93 driven primarily by COVID weakness. Adjusted EPS through June 30th is up 6% to $1.92 on excellent cost and revenue synergy performance and the strength and scale and breadth of our business. Importantly, we generated nearly $900 million of free cash flow in the quarter, up 23% over the comparable quarter and up 13% to $1.7 billion through June 30th. Consistent with our capital allocation strategy, we repurchased 5.7 million shares for $550 million in the quarter and for the year-to-date, have repurchased 14.3 million shares for $1.4 billion. In dealing with these unchartered waters, we have put our energy and focus on sustainable actions, such as cost synergy acceleration, that we believe will make us stronger and more profitable for the long-term. We delivered $155 million of cost synergies in the second quarter results alone and now expect to book at least $550 million of cost synergy savings in 2020. We've actioned nearly $700 million, of our $1.2 billion target through the end of the second quarter and $750 million through the end of July. Revenue synergies are progressing equally well with continued strong performance in network innovation, bank merchant and cross-selling our market leading solutions across the company. For example, we were able to add our DNA account processing solution for a new clients digital bank, where we were initially awarded credit processing. Revenue synergies sales in annual contract value were more than $50 million in the second quarter. We saw continued strength in our bank merchant synergy program, even with the COVID slowed down, adding 42 new bank merchant clients in the quarter and nearly 70% were competitive takeaways. We signed more than 160 banks and credit unions in our first full year and have a very strong pipeline of nearly 400 institutions. Overall, we had actioned a $130 million in annualized revenue synergies through June and are in a great position to achieve $600 million revenue synergy grow. We signed 17 new core account processing clients in the quarter. 99 DNA including Northwest Federal Credit Union, one of the largest credit unions in Virginia with $3.4 billion in assets and United Federal Credit Union with $2.9 billion in assets. Another important highlight was South State Bank, an existing Fiserv Premier account processing client, which recently merged with CenterState Bank and selected Fiserv's core platform. And a number of additional solutions for their newly combined $38 billion institution. Even in these challenging times, our leading solutions continue to win in the market. Our industry-leading digital and electronic payment solutions such as Mobiliti, CardValet, Architect, TransferNow and Zelle have us incredibly well-positioned to support our clients in the digital transformation, which we believe is further accelerated by the pandemic. One excellent prove point on our digital momentum was in a recent competitive win with Northwest Bank, a long-term Fiserv's client who expanded our existing relationship to establish us as their strategic digital partner. Northwest added a number of new digital solutions led by Architect, our single digital platform, as well as a number of other customer-centric solutions, which will enable them to offer a more innovative and integrated solution for their clients. In our card-issuing business, we signed a important renewal with PNC, extending our long-term partnership with the seventh-largest bank in the U.S. for both credit and debit processing. Bank of Baroda, one of India's leading public sector banks awarded us their credit card processing in the quarter. When live, we will provide card processing services for four of the top six issuers in India. Prior to the onset of COVID, our merchant business had displayed it's emerging strength recording high single-digit internal revenue growth through all of 2019 and further accelerating to low-double digits in the first few months of this year. Even in the pandemic our merchant business has performed very well relative to the market and we believe is even better position going forward. That strength is attributable to a number of factors including the size and scale of our distribution network, geographic reach, diversity in diverse industry coverage, our Clover platform and rapidly growing and leading digital technologies, including e-commerce and ISV. Clover gross payment volume is recovering well from the weakness it experienced early in the quarter with GPV up 24% in June and was up 32% in July. GPV for the quarter was $23.4 billion or more than $90 billion annualized. Simply stated, our Clover strategy is to grow the number of clients using our platform asset is important. To extend the breadth of services offered to these clients. We're creating deeper client relationships through solutions such as virtual terminal and online ordering that were rolled out in Q2 and are seeing solid early adoption rates. We are pleased to see our digital merchant acquiring platforms riding the growing wave of digital transactions across a variety of industries and geographies. We are seeing accelerated sales momentum in e-commerce solutions, adding 50 new clients in the quarter, 86 year-to-date and a 144 over the last 12 months. As the pandemic spurs the need for innovation, we are seeing our investments in omnichannel merchant capabilities, such as order-ahead to pick up in-store gain even more traction. As a leader in this space, we provide omnichannel solutions to nine of the top 15 QSRs including McDonalds, Chick-fil-A, Taco Bell and Dunkin' Donuts. In Q2 alone these QSR transactions more than doubled to greater than $50 million per month. Given the demand we are expanding these capabilities into more verticals such as grocery as well as other geographic markets around the world. Our integrated payments continue to perform well, expanding our number of partners by more than 20% in the quarter. In spite of COVID, our ISV revenue was up double digits in the quarter. We remain focused on driving additional differentiation to capture additional market share in this space. Overall, we're very pleased with our first half performance in this challenging time. The combination of integration benefits the payoff from targeted investments and delivering new innovation that clients' needs, is translating to significant sales and market momentum, which we will expect will both support growth today and well instead of future. With that, let me pass the discussion to Bob for more detail on the financial results.
Robert W. Hau: Thank you Frank and good afternoon everyone. We turned in a relatively strong performance in the face of a tumultuous impact COVID-19 had on business and consumer activity around the world, displaying the resilience and strength of our business. Total company internal revenue declined 7% in the quarter, driven by a significant impact of lower transactional volume associated with the global pandemic. Importantly, as Frank mentioned earlier, we saw internal revenue steadily improve as the quarter progressed with June internal revenue down just 1%. The monthly improvements continued into July with company internal revenue growth turning positive for the first time since February. Year to date, internal revenue has declined just 2% due to the strength of the business and better than anticipated progress on actual revenue synergies, which were $38 million in the quarter and are $65 million year-to-date. We now expect to be above the midpoint of our 2020 revenue synergy estimate of $75 million to $100 million. Although not in the category of formal guidance or outlook, based on what we can see today we estimate that our internal revenue is likely to be in the range of plus or minus flat for the year. Second quarter adjusted operating income decreased 14% to $927 million, which includes a 2 percentage point negative impact from dispositions and decreased 7% to $1.9 billion through June 30th. Adjusted operating margin of 28.8% in the quarter declined 90 basis points compared to the prior year but improved 100 basis points sequentially. Adjusted operating margin through June 30th declined 50 basis points to 28.3%. As anticipated, adjusted operating margin for both the quarter and the year were severely pressured by the COVID related decline in revenue and the associated expenses, timing of brand assessments and prior year dispositions, partially offset by $155 million of expense synergies achieved in the quarter. Second quarter adjusted earnings per share declined 4% to $0.93, compared to $0.97 in the prior year, as adjusted for the investment services transactions that closed in Q1. Adjusted earnings per share through June 30th has increased 6% to $1.92, setting the stage to achieve our 35th consecutive year of double-digit adjusted earnings-per-share growth. Free cash flow in the quarter was excellent, up 23% to $895 million and up 13% to $1.7 billion year-to-date. Free cash flow conversion for the quarter was a stellar 142% and is 126% year-to-date. This performance was driven by strong working capital, timing of settlement activity in our merchant business and lower capital spending for the combined company. Our impressive free cash flow is the result of our resilient business, mission critical solutions and significant transaction synergies. We expect free cash flow for the second half of the year to remain strong, as cost synergies continue to ramp and we further capitalize on opportunities to drive efficiency across the company. Looking into the segments, internal revenue in the Merchant Acceptance segment, which has been the most impacted by the pandemic, declined 15% for the quarter and is down 5% through June 30th. As the world has begun to gradually reopen, we've seen improving transaction and volume metrics leading to improving revenue performance. In fact, we closed the quarter with acceptance internal revenue down just 2% in June, and in July returned to positive growth. As you've heard, we are seeing improving business trends in the segment. Clover GPV has improved steadily from April through July and Clover units shipped are back to positive territory ending June of 9% year-over-year. Total e-commerce transactions were up 26% in the quarter and omnichannel transactions gained even more steam. Some of the key deals in the quarter include sale of eCom solutions toward in store card processing for California DMV along with eCom solutions for six new regional grocers, including two more in the top-ten. Among the number of wins globally, we added both card present and card-not-present solutions for McDonald's in Germany and omnichannel solutions to Burger King in the U.K. Adjusted operating income in the Acceptance segment decreased 47% to $223 million in the quarter on an adjusted revenue decline of just over $300 million, and adjusted operating margin declined 950 basis points to 19.1%. Year-to-date adjusted operating income was $506 million and operating margin was down 700 basis points to 20.2%. A combination of sharp COVID revenue decline and associated expenses, negatively impacted second quarter margin by nearly 800 basis points. The timing of network assessment fees in the quarter, which is expected to reverse in the second half of the year was almost 300 basis point headwind. These two factors alone, which total roughly 1100 basis points of negative margin impact, more than offset the substantial and sustained positive impact of cost synergy actions in both the second quarter and year-to-date. You will also recall that Q2 is the anniversary of the BAMS deferred revenue item. So, we will no longer be a headwind in the second half of the year. We expect Acceptance segment adjusted operating margin to improve significantly over the remainder of the year to a level above last year's pre-COVID results, with the majority of the gain coming in Q3. This improvement is expected to be driven by improving merchant volumes in revenue, cost synergy actions ramping over the remainder of the year and the reversal of the network assessment timing headwind. We now expect Acceptance segment adjusted operating margin to be up sequentially at least 800 basis points to more than 28% for the second half of the year. As Jeff mentioned, the BAMS dissolution was successfully completed as of July 1st. We have realigned our cost structure as expected, which will reduce our expenses, run rate below the proportional level within the joint venture. Importantly, the dissolution moves a significant amount of scale and the resulting revenue to our small business, middle-market and enterprise client book. As a result, the size of our direct e-commerce and digitally oriented revenue has grown meaningfully and should lead to future growth and expansion, given the macro characteristics of these attractive markets. The Fintech segment internal revenue declined 1% for the quarter as growth in high quality recurring processing revenue was offset by lower periodic revenue, such as license and termination fees, largely due to the pandemic. Year-to-date Internal revenue was in line with prior year, revenue in this segment tends to be quite resilient due in large part to the mentioned critical nature of the solutions and as much less susceptible to variation due to macroeconomic impacts. In addition to the 17 new core comp processing wins in the quarter, we are seeing even more demand for our broad array of digital solutions. Mobiliti ASP subscribers increased 6% in the quarter to more than 9.3 million, and Architect, our single digital platform, had growth of 56% to 3 million users. Adjusted operating income was up a very strong 14% in the quarter to $252 million and is up 8% year-to-date to $456 million. Adjusted operating margin was up significantly in the quarter increasing 520 basis points to 35.4% and a combination of cost synergies and operational effectiveness, offset somewhat by lower periodic revenue. Year-to-date adjusted operating margin was up 280 basis points, as we deliver client-value across the scale business with increasing efficiency and effectiveness. The Payments and Network segment internal revenue declined by 3% in the quarter. COVID impacts pressure a global credit issuer processing, prepaid and biller businesses and were partially offset by growth in card services and output solutions in part, benefiting from revenue synergies. Internal revenue through June 30th is comparable to the prior year. Revenue in this segment tends to be driven by transactions and/or accounts, and tends to be fairly resilient in a typical recessionary periods. But this pandemic has been different, for example, debit oriented transactions, which have historically been very resilient were impacted much more than prior recessionary periods and have solidly improved, consistent with the reopening, since the trough in early April. Debit transactions were down in low-single digits in the quarter, improving from down 20% percent early in April to being up mid-single digits in the second half of June and through July. Conversely, we are seeing strong growth in solutions such as the account-to-account transfers and P2P, which is up nearly double the prior year's quarter, and up 20% sequentially. The number of clients live on Zelle has further accelerated, increasing more than five fold, compared to a year ago and is up 31% sequentially. We continue our bullishness on the role of electronic money movement and Zelle specifically, as the pandemic pressures legacy ways of moving money. Adjusted operating income for the segment improved 1% to $558 million in the quarter and is up 5% to $1.1 billion through June 30th. Adjusted operating margin was up a very strong 220 basis points to 42% in the quarter and is up 250 basis points, to 41.6% year-to-date. The positive impact of revenue synergies, operational efficiency and strong cost synergy performance is driving current results with continuing runway for future expansion. The adjusted corporate operating loss in the quarter improved 5% to $106 million in Q2 and a 7% better to $200 million year-to-date, primarily due to cost synergies. The adjusted effective tax rate in the quarter improved 20.5%, primarily due to the benefit of geographic mix of earnings and discrete tax items. Our adjusted effective tax rate is 19% through June 30th and we now expect our full year adjusted effective tax rate to be just below 22%, in line with the prior year and modestly better than previously expected. We continue to allocate capital to build shareholder value, repurchasing 5.7 million shares for $550 million in the quarter and 14.3 million shares for $1.4 billion year-to-date. As you will recall, we began repurchasing shares much earlier than originally anticipated, given the strength of free cash flow even while meeting our debt commitments. As of June 30th we had 670 million shares outstanding and about 7.5 million shares remaining authorized for repurchase. We repaid $100 million of debt in the quarter and total debt outstanding, which is now 85% fixed rate amounted to $21.9 billion. Debt to adjusted EBITDA was 3.9 times as of June 30th and we remain committed to achieving our leverage target by the second half of 2021. We expect to repay more than $1.5 billion in 2020 and therefore we'll allocate a large part -- percentage of our free cash flow to debt repayment for the balance of the year. Finally, let me call your attention to our Q2 earnings slides available in Investor Relations section of our website. Page 9 provides a summary of the financial integration milestones we have achieved in the first year as a combined company, some of which Jeff highlighted in his remarks. Even in the face of this global pandemic, we have taken actions that have locked in more than $1.1 billion of run rate pre-tax earnings, well ahead of our original objectives, and have much more opportunity ahead. While we are pleased with the integration performance to date, we remain committed to unlocking the potential we have in Fiserv to deliver even more differentiated value for our clients, as well as you, our shareholders. With that, let me call -- turn the call back to Frank.
Frank J. Bisignano: Thanks, Bob. We believe one of the most important aspects of the transformational acquisition of First Data was the commitment to allocate an incremental $500 million to support innovation. This commitment is unique to Fiserv, and we expect this program to create differentiated value for clients, opportunity for our associates, and incremental growth for our shareholders. We will provide a detailed update on our priorities and progress at our December Investor Day. Based on our strong performance and sales momentum in the first half of the year, coupled with the trends we are seeing in our end markets, we are providing new 2020 financial outlook. For adjusted earnings per share to grow at least 10% over last year's level, adjusted for divestitures or at least $4.33 per share for the full year. Our 2020 outlook does not contemplate a sweeping second wave of shelter orders or other circumstances, which creates significant economic duress in the second half of the year. We are pleased with our financial performance in the midst of pandemic uncertainty. We returned to positive internal growth in July and expect to achieve our 35th consecutive year of double-digit adjusted earnings-per-share growth. The combination of market momentum along with the $1.1 billion of actions we have already taken, give us increased confidence in delivering strong results in '21 and beyond. Diversity and inclusion have long been core principles of our award-winning people platform. At the same time, we are addressing the significant societal changes, which we believe will have a lasting impact on both life and business as we know it. Through listening and acting upon what we are learning, we are confident we will build a stronger and even more highly committed team. Back in June, we launched our back-to-business program, which supports minority and black-owned small businesses in the areas that have been hardest hit by the pandemic and social unrest. Working directly with local chambers of commerce, we have committed at least $10 million in grants, along with our best talent to help these businesses succeed and thrive. We are on the grounds in Brooklyn and Queens and we'll also expand to other markets such as Atlanta, Chicago, Miami, and Oakland. We have already brought business coaching and payment solutions to hundreds of businesses and expect to help multiples more as that program expands. Last, let me thank our more than 40,000 talented associates around the world for their commitment and courage each day as we stand together to deliver value for clients, our colleagues and you, our shareholders. With that, let's open the line up for questions.
Operator: Thank you. [Operator Instructions] Our first question is from David Togut from Evercore ISI. Your line is open.
David Togut: Thank you. Good to hear your voices Jeff, Frank and Bob.
Jeffery W. Yabuki: Hey David.
David Togut: Encouraging to see the return to internal growth in the merchant acceptance business in July. Could you talk about the sustainability of that organic growth continuing, specifically for Merchant in the back half of the year and any thoughts you have on underlying drivers would be helpful?
Frank J. Bisignano: Yeah. So, we feel very strong about that sustainable growth. What you hear us talk about, if you look at that business in total, we think the investments that we've made over time have really paid off. You hear us talk about the wins we have in e-com. So that's a tailwind for us. You look at the double-digit growth we talked about in our ISV business, you look at the GPV running through Clover, right now, that we've talked about and the growth of it. And then we have talked about the 162 bank merchant synergy sales which actually have no economics in our numbers yet, but you should expect that to continue, and that's a very, very integrated solution that promise that we would bring together core processing clients and bank merchant and help them grow that business for their institutions. And then I think if you think about the diversity of our client base, you hear us talk about what went on in those omnichannel transactions for the QSRs where we have a leading position, and then you also think about the geographic diversity that we have, which really we think is somewhat unparalleled. So our client diversity, our geographic diversity, and then our integrated solutions, we think we have the broadest and best solution set in the industry, and with all of that, we see very, very strong opportunity is -- the trough was deep but to be back to IRG and the type of GPV, we talked about, what Clover really, really gives us is high confidence about the future.
Robert W. Hau: And Dave...
David Togut: Great and just a quick follow-up if I could, reinstating the 2020 guidance is very encouraging. Could you talk through dimensioning of expectations for Q3 versus Q4?
Robert W. Hau: Yeah, David, it's Bob. Just real quick back on your other question too, I would point out that the return to growth was beyond our merchant business, total company return to growth. So we feel quite good about the progressive improvement we saw throughout the quarter. And in fact, to your second question, that leads us to get our confidence to give the guidance of at least 10% EPS growth. In particular, we will see a nice improvement as I mentioned in my prepared remarks in our merchant margin, the majority of that 800 basis point improvement, second half over first half is sequential improvement will come in third quarter. So we'll see a nice pickup from one of our largest segments in the business and as revenue comes back in those other two businesses, that's a nice scale of opportunities. So we're looking forward to really overall having a strong second half.
David Togut: Got it. Just a quick final question on Virgin Atlantic, since that seems to be in the news quite a bit. Could you dimension your financial exposure to Virgin Atlantic as they go through their bankruptcy proceedings?
Robert W. Hau: Yeah, I can't give you an overall number but I can tell you absolutely that we've been working closely with them, like all of our client partners in terms of supporting them as they restructure their business as one of their creditors and the filling -- the Chapter 15 filing, you saw yesterday was part of that overall process but bottom line is, we feel we're in good shape. I don't see any issue. We continue to process for them and I feel comfortable our position overall.
David Togut: Understood, thanks very much.
Operator: Thank you. Next, we have Dave Koning from Baird. Your line is open.
David J. Koning: Yeah. Hey, guys great job.
Frank J. Bisignano: Thanks, David.
David J. Koning: Yeah. I guess my first question a little bit like David's question to how sustainable are the growth in the other two segments. It seems like if the total company return to growth and Merchant did it, seems like the other two, probably did too in July. And maybe along with that, how big was the periodic impact in the financial tech business, I know that's the highly sustainable and highly recurring business, maybe just so we can understand if that grew in Q2 on a core basis.
Frank J. Bisignano: Yes. So I think when you look at the sales numbers we're talking about and how the company is coming together, it's beyond the expectations we had. We always viewed that we had this opportunity to come together and the client saw the same. And if you think about, we talked about, we've had more than 340 total synergy sales and then we also just have the general growth there. You hear about the Architect business up 56%. So in the totality of what we're dealing here, we actually believe that this company has very good growth in the second half relative to the trough that we saw. And so I think there you should feel that it's all, all elements of the company will be growing. You heard us talking about those credit wins and we had ones prior to that and the e-com wins, so across the board.
Jeffery W. Yabuki: And David, in terms of your question about the periodic revenue, the Fintech segment would have grown, had we not had the headwind from periodic revenue, call it, really high-single digit headwind and some of that was absolutely driven by what we think is COVID impact, particularly in the license side of that.
David J. Koning: Got you. No, that's helpful. And I guess my follow up with the BAMS JV being disassembled now. How -- are you going to start, including those revenues back in your revenue or you going to continue to exclude them the way, just kind of understand your accounting behind it going forward.
Jeffery W. Yabuki: Yeah. So from a standpoint, first of all, they are in our numbers, they're not included in our growth rate or internal revenue growth rate. The adjustment that we started making as the dissolution took effect, we essentially will follow our standard practice for acquisitions and divestitures and excluded for one year forward and then pull it back in.
David J. Koning: Got you. Great, well thanks and great job.
Jeffery W. Yabuki: Thanks.
Operator: Thank you. Next, we have Darrin Peller from Wolfe Research. Your line is open.
Darrin Peller: All right, thanks guys. If we hit on the some of the digital areas that you're growing so well in Clover up 30% you mentioned, e-com I think you said over 20% or 26%. But when you combine that with omni and digital banking, can you talk to us about -- I mean if you could just hit on all the areas that you think are really performing well given the pandemic, maybe accelerated. And where you come out on the other side of this, what are the areas of your business that you're taking share and as a result. And then maybe just talk a little more about Clover firm, because the growth rate there 32% with I think in the $90 billion annualized GPV, was obviously a strong number. So, just I'm curious to hear what the strategy there is, and if you can sustain those kinds of growth rates?
Frank J. Bisignano: Well, I think, first of all, if you look across the businesses and as we go across all of the, we have had a deep bent in digital. We've invested heavily in digital and that's why you see us when those type of deals like Atlantic is and Genesis, because of that you see Architect, really winning in the market in some ways. You see us being selected by many is their digital provider, right. And so, we believe the sustainability is high, relative to it. We think in some cases acceleration will occur given the amount of investment we've put into it. I think and we think about in global nature too we have a lot going on in Latin America, where you will see some classic innovative solutions where we take all of our capabilities and bring it to the client. I think if you look at the -- during this pandemic we have almost vested into it. So you don't see us doing anything other than adding resources in the areas like Clover and ISV and your watch that whole integrated solution come together, only adding resources in our credit processing group and not pulling back on anything. We use the synergy opportunity to save money and that acceleration's coming through well. But we consider COVID to have more growth opportunity, then you see right now, even at that set of numbers you heard. And we think our core banking platform has it as does our card processing. And then if you think about what we're going to do with the potential of this ecosystem, as we bring in Zelle and our other Mobiliti assets, our ability for the client's benefit is going to be very, very strong. And those are one of things Jeff and I talked about when we started and why we're playing the $500 million into innovation ultimately to be able to continue that sustained drive, Darrin.
Darrin Peller: Okay. That's really helpful. I just wanted to actually ask one follow-up on the capital allocation strategy of the company. Just, during the pandemic, there is a lot of considerations, but you bought back some stock this quarter. Looking forward, obviously, especially with the transition from Jeff to you, Frank. Should we consider 2021-'22 still years where the legacy strategy for Pfizer, for who capital allocation and share buyback is similar still? Thank you.
Frank J. Bisignano: Yeah, I don't want -- I wanted to limit it '21 and '22 maybe, is what I would say is, one of the things I signed up here and one of the great things I loved about what how Jeff had brilliantly led the company, was the capital allocation strategy. And I think we owe it to our shareholders to continue to put them as our first priority in every dollar we spend. And so I would consider that and tried and true strategy just flow throughout. I mean, 100% and I don't think it's a '21 issue or '22 issue, that's tried and true forever.
Darrin Peller: Great.
Operator: Thank you. Next we have Matt O'Neill from Goldman Sachs. Your line is open.
Matt O'Neill: Yeah, hi. Thank you guys for taking my call or my question. I asked a similar question about previously. So I think, it fair to ask you as well. I think there is an understanding that coming out of the pandemic, the secular acceleration on things like electronification of payments is well understood. However, part of the thesis that I think is equally compelling here is the newfound desire from your bank customers to potentially incrementally outsource to modernize their digital and mobile footprints and possibly reallocating investment dollars away from things like branches or ATMs or other items. So would you say that there is a newfound enthusiasm from your customer base for a lot of the incremental services that you're able to provide and any of the, the pipeline is maybe as robust as ever along those lines.
Frank J. Bisignano: Yeah, well I think the pandemic accelerated everything people talk about digital. Maybe what people thought, would take five years, it I will take two years or less than that, I mean you've watched us build capability in digital much faster than maybe we would have thought, it would have taken before and our clients are fully engaged it in. So I think speed matters and clients are completely committed to being digital-first and we're committed to deliver in digital-first for them.
Matt O'Neill: Thanks, Frank. And just as a quick follow-up point of clarification I believe what I heard on the capital allocation front for the remainder of the year was a focus on debt pay down, which is certainly reasonable, but could you just confirm that, that's correct. And then presumably once the leverage gets down to the targeted range next year, the share repurchases would really kick in in earnest.
Jeffery W. Yabuki: Yeah, Matt, I would say we've demonstrated an ability to do both. We've done that over the years, we've done that since the merger when we first announced the transaction we suspended share repurchase pending the deal closing, we made commitments on our ability to de-lever, we're well down that path. At the same time, repurchased $1.4 billion in shares and we are paying down some debt to get to our targeted leverage mid next year. There'll be some debt pay down absolutely and I mentioned that in my opening remarks. We'll also see EBITDA growth, that helps create that deleveraging point. So you should absolute expect us to continue to allocate capital both in terms of investing in our business and then free cash flow is split between M&A activity when appropriate, but all through the eyes of a share repurchase and that debt delevering, we've got a really nice quite path to achieve what we set out to achieve by second half of next year and share repurchase has been part of the transaction, since and will continue to be going forward.
Matt O'Neill: Very fair. Thank you very much.
Operator: Thank you. Next we have Ramsey El Assal from Barclays. Your line is open.
Ramsey El Assal: Hi, thanks so much for taking my question today. I wanted to ask a little bit about the, about the BAMS JV dissolution and I guess first, can you sort of dimensionalize the magnitude and kind of cadence of the expense savings coming out of that, is that I didn't think I heard you mention that it was a contributor to large increase in margins and merchant next quarter and then also just in terms of the merchants you selected in that JV, are there any, is the tying with Bank of America and/or the pandemic creating any additional kind of like attrition or retention concerns around those merchants?
Frank J. Bisignano: No, I'd go back to -- if you go back to last July, when we talked about how this will perform and where we are today, we feel great about our partnership with the bank, we feel great about, probably one of the dissolution, you've seen in industry with zero friction, then expanding, processing agreement for five years beyond our current processing for them and the bank has just been a great partner through it and we feel as good as we did ever. So I just, start with that and think ultimately both parties end up with a very, very strong good situation, but ultimately we do see cost take out and we do see growth opportunity as we talked about, maybe better than what we talked about last July. I will let Bob take you to a couple of more deeper details, it started at the highest level that this dissolution was hugely successful for both Institutions.
Jeffery W. Yabuki: Yeah, I'd -- Just to add, Ramsey to your specific question. I did point out that as of July 1st with the dissolution completed we do see our overall expenses below the level of proportionate share that we had back when the JV was in place. And so we will see a lift in margins because of that in the second half of this year. Not all of that is yet behind us, but a big chunk of it is with the effectiveness of dissolution on July 1.
Ramsey El Assal: Okay, and the second part of the question was just around any type of attrition characteristics around the merchants that you've basically pulled from the JV, whether there is anything that changes the -- any equation in terms of not having the Bank of American connection or maybe the pandemic or anything like that, are these merchants expected to perform on that metric, very similar to your other, the rest of your book effectively?
Frank J. Bisignano: Yeah, No, we feel very good about it all. We feel very good about it all.
Jeffery W. Yabuki: I would certainly expect them to experience similar characteristics for the rest of our client base.
Ramsey El Assal: Okay, all right, perfect. I'll leave it there. Appreciate it. Thanks so much.
Frank J. Bisignano: Thanks, Ramsey.
Operator: Thank you. Next, we have Tien-tsin Huang from J.P. Morgan. Your line is open.
Tien-Tsin Huang: Hey thanks, hope you can hear me cell service is really bad where I am at. Just a follow-up on Ramsey's question the BAMS merchants, anything to share in terms of type of merchant or the geographic mix of that. I'm just curious how that piece is different than maybe some of the other JV merchants, because I still think the market somewhat under appreciates the mix of what you have inside those JVs.
Frank J. Bisignano: Well, I mean if you look at it there are some fabulous names, actually the fact of the matter is many of those names were contributed by the original company and we took those back and they're just fabulous household institutional names that we feel so good about as did the bank itself. And then the geographic dispersity would be exactly what, you remember this was a U.S. business, that was really fundamentally it was and at the SMB level, there is a large Clover base on both sides. So, remember these are large Clover consumers that generate very, very good returns and who we actually believe, we will do more with as we go forward, as we bring out even the functions you heard like virtual terminal and order-ahead and other capabilities. So I'd say great geographic dispersity, great reach from small to tall, some of the largest names you'll here and many of them were long-standing deep relationships with the predecessor company.
Jeffery W. Yabuki: Hey Tingen I'd say overall we're quite pleased with how that overall selection process went. We're very happy with the 120,000 merchants, so we picked up and also remember we're still the processor for Bank of America's clients going forward.
Tien-Tsin Huang: Yeah, caught that, with the five year extension, got it. And then just my quick follow up just, I know you'll share a lot more at Investor Day, I don't want to preview that too much, but just the $500 million, I'm curious, how much of that could we expect to allocate toward maybe modernizing some of the platforms I know there's a lot of discussion around modern versus traditional or older platforms and I'm just curious if that's going to be part of the roadmap of the $500 million?
Frank J. Bisignano: Yeah, I mean we haven't thought on the $500 million in that manner. We actually have been doing that over the past year in a very deep and aggressive manner and been usually successful at it. On that $500 million, we're really talking about next-generation opportunities whether it'd be in deed, whether it'd be in fraud, whether it be in decisioning, so you should expect us to modernize the place away from the $500 million, as annual run rate today.
Tien-Tsin Huang: Got it. Okay, that's good to know. Thanks. And Jeff, hope to see you there in person.
Jeffery W. Yabuki: Me too, thanks.
Frank J. Bisignano: Hey, man, he will.
Tien-Tsin Huang: 100%/
Operator: Thank you. Next, we have Ashwin Shirvaikar from Citi. Your line is open.
Ashwin Shirvaikar: Thank you. Hi, Jeff, hi Frank and hi Bob good to hear from you, and good job in these circumstances, including free cash flow and sales. I was wondering if you could shed incremental color on sort of 3Q versus 4Q sort of by segment are there any specific, periodic or one-time impacts to watch out for, you, it's great that you are not expecting any periods of duress, like you mentioned, but are you incorporating periods of perhaps plateaued performance up and down, any incremental color would be great.
Jeffery W. Yabuki: Yeah, Ashwin I would say, of the top of my head there is no really big one-timer so to speak or items in the second half that would color Q3 versus Q4. I would expect to continue to see kind of the monthly progress that we've seen through the second quarter ended into July. So August gets a little bit better, September gets a little bit better, October, November, and hopefully, maybe by the end of the year, we get back to whatever normal used to be. I can't remember what that looked like it was so long ago, but we still have progress to go and at this point, we're kind of counting on, or expecting relatively steady progress through the balance of the year. So growth, a little bit stronger in the fourth quarter. But as we see the volume come back in Q3 as I have mentioned, we expect margins to bounce pretty nicely in third quarter.
Ashwin Shirvaikar: Got it. And then a follow-up question is on bill payment where you guys obviously have sort of the leading franchise. Can you talk a little bit about the impact of the crisis on that segment given a lot of people find it difficult to pay bills and what not. What are you seeing in that segment, what's the volume dependency of any stimulus or anything like that, that one might expect there.
Frank J. Bisignano: Yeah, I would treat it like it was a very small impact, not a large impact and stimulus has a little effect, but those clients and we have a fantastic franchise there and without financial institutions, also those clients are pretty -- have been very-very durable during this process.
Jeffery W. Yabuki: I would say, Ashwin that one of the things we saw particularly stimulus coming in movement in Zelle. We saw some nice lift, with that, some real growth come through in sustained. So, it wasn't a one-time sort of a thing. And as you heard us talk, Zelle has been quite positive, both in terms of number of transactions, number of clients signing up, number of clients going live that continues to be a very nice driver for us in our Payment segment.
Ashwin Shirvaikar: Got it. Thank you. See you guys in December and maybe hopefully even in November.
Jeffery W. Yabuki: Thanks Ashwin.
Ashwin Shirvaikar: Thanks.
Operator: Thanks. Thank you. Next we have Bryan Keane from Deutsche Bank. Your line is open.
Bryan Keane: Hi guys, just wanted to get clarification on the margins in Acceptance. The magnitude of the drop, I think, was kind of surprising in below expectations or at least our expectations, but I am almost equally surprised at the bounce back in the margins being that quick, so I get the network assessments plus and minus there, but just thinking about volume and what that means for margins, does that explain a lot of it and how much your synergy is involved here on this bounce back in the margin as well?
Jeffery W. Yabuki: Yeah. So, Bryan, the network assessment fee, as I mentioned is 300 basis points, overall volume being down 15% in a business that's got some good-sized fixed costs really does impact quite substantially. And as those volumes come back, you'll see that lift return, the advantage on the network assessment fees is not only does the headwind side, but actually becomes a tailwind, and so you see a nice recovery there. And then the last item that, kind of, is a or is a change first half to second half is the BAMS deferred revenue, the headwinds ceases because with that lapsed Q2 of last year. So, you don't have the compare in Q3. In terms of synergies, we will continue to generate cost synergies that segment has seen nice progress like the entire company and that will continue into the second half of the year, but I would definitely point to the network assessment fees and timing and as well as just overall volume being a real part of it.
Bryan Keane: Got it. And then just on the other segments, are synergies driving some of the massive improvement we're seeing and Fintech and Payments as well?
Jeffery W. Yabuki: More so in the Payments, but yes, all three of our segments, plus the corporate expenses are seeing some real benefit where we are driving cost out of our technology, largely through our vendor discussions, you see the benefit across all three of the business segments. Our Payment segment is the area where the business is overlapped the most and so you get the more natural takeout other than the corporate functions in that segment. Fintech definitely seeing some benefit on the technology side. They've also been quite successful in what we used to call operational effectiveness or general productivity and taking cost out of that business.
Bryan Keane: Okay, great. Congrats on the execution.
Jeffery W. Yabuki: So the key, here, Bryan, I think is these are permanent cost out. This is cost synergy, this is not temporary actions in response to COVID that will naturally snap back, you haven't heard us announce furloughs or employee pay cuts. This is our effort to to drive synergy a little bit faster, then maybe we would have otherwise maybe not, but definitely our permanent cost out, that won't snap back, as you have to put those cost back into business.
Bryan Keane: Got it. Helpful. Thanks guys.
Operator: Thank you. Next we have Lisa Ellis from MoffettNathanson. Your line is open.
Lisa Ellis: Hi, good afternoon. Thanks for squeezing me in. I was hoping to get a little bit more color on the 38% increase in sales in the quarter, 20% year-to-date. Can you just talk a little bit about where you're seeing that uptick in demand through the pandemic and how sustainable and more secular is it versus some temporary things related to pandemic? Just a little bit more color there. Thank you.
Frank J. Bisignano: Yeah. I think, first of all, where they're 38% sustainable, you can be quite clear that the year-to-date number has large sustainability to it and when Jeff and I put the Company together, one of the phrases we use is, how we would come together in a client's office. And we're seeing it in multiple ways, and remember that 38% does include those competitive takeaways like Atlantic is or in Genesis, those are July numbers. And we talked about the $50 million of synergy wins in the quarter, it's across the board. It's a full demand of suite. I mean, we -- this digital nature that people would like from us is very strong and that's why we talk about Architect and how we're delivering that I think you'll continue to see us as bank merchant really has yet to turn into anything in our P&L yet, although, you would see that in '21. But I mean the sustainability and the durability of our sales efforts are very-very high.
Lisa Ellis: Okay. And then my follow-up, we just come-- circle back again to the Clover number, as I think that was pretty fantastic number up 32% in July, 24% in June. Can you -- that must mean that you've got a whole bunch of new merchants coming onto Clover in the middle of the pandemic, is that right? Is that the right interpretation of that? And kind of how and why and where and what -- for what segments or through what channels are they coming in? Like what's driving that?
Frank J. Bisignano: Yeah. I think, first of all, if you think about it, we always had growth, this has continued to grow. And now we have virtual terminal out there, we have order ahead out there. So, we believe when we're bringing eCom into Clover, when we're bringing virtual terminal, when we are bringing order ahead. Yes, we are selling more merchants also, but I want you to think also about how the acceptance levels of Clover are much higher than where we were at a different point in time. So it's more merchants, more functionality and more desires for the product by clients. I think that's how I think about it.
Jeffery W. Yabuki: And Lisa, I just add one of the data point, we mentioned was unit shipments were up 9% in June, so we are getting more units out there that are helping that.
Lisa Ellis: Yeah. Great, thank you. Thanks guys.
Operator: Thank you. Next we have Vasu Govil from KBW. Your line is open.
Vasundhara Govil: Thank you very much for taking my question. I think Bob touched on in for just a second, but maybe if you could talk a little bit more about your appetite for M&A in the near term and what type of assets would be most interesting to you here.
Frank J. Bisignano: So, first of all, we feel very-very good. After we put these two companies together and how it's all coming together, both in the client's office and in our ability to invest and build ourselves. You hear a lot about things that we've built in terms of capabilities, right? And look at everything, we're going to do is going to be again share repurchase because of our capability. So, will there be a moment where there may be something that makes sense? But we feel that our hand is completely following capability and we have a deep belief in our technology prowess and the ability to build things and scale them up and in a tremendous way, things like Clover and things like Architect, what we're doing with Zelle. So -- but if you want to go to backdrop, the backdrop is filled in when against share repurchase.
Vasundhara Govil: Got it. And just a quick follow-up. Really good growth metrics on e-commerce in Clover and omnichannel type solutions. I'm just wondering if you could give us some color on how big these pieces of the business are today as a percentage of the total margin segment.
Frank J. Bisignano: And first of all, eCom business has been thriving and winning and taking market share away, and when you look across the Company, we always thought that it was large, it was a fair amount. When you look at what we're doing in an omnichannel, that's new, but we're creating new total addressable market, was it? it wasn't like that was that all those order-ahead capabilities for QSRs existed before. But when you think about 50 million transactions, you are thinking about a tremendous growth engine that we're going to leverage across the world and across multiple verticals as order ahead has become a way of life for many. So I think when you think about it, these are pretty strong growth engines for us for a long time to create shareholder value for a long time, we've already built it and we've already demonstrated our prowess.
Jeffery W. Yabuki: Yeah, i think bottom line is they are good and growing every day and might be a topic of conversation for you at Investor Day coming up in December.
Lisa Ellis: Great, thank you.
Operator: Thank you. And our last question is from Jason Kupferberg from Bank of America. Your line is open.
Jason Kupferberg: Hey, guys, I appreciate the opportunity here. So I just want to come back to the comment around the internal revenue growth turning positive in July, I'm guessing that's maybe low single-digit up and so if that's the case, it sounds like you really don't need to see acceleration of those July levels to get to that rough target of flat for the full year. Am I thinking about that right?
Jeffery W. Yabuki: So, Jason, I mentioned this earlier I think we, as we said, we are positive. Yes, it's relatively small positive and we expect that to continue to step up into August, September, October into the balance of the year and that's certainly what we've seen over the last three months now, back in the depths of April successfully every month, in fact, every week has pretty much been a nice steady improvement. We'll see whether that continues. The cost synergy actions and getting some revenue growth over our fixed costs absolutely helps with this phase.[Phonetic]
Jason Kupferberg: Right, right. I guess, yeah. I guess the point I was trying to make is, almost it seems like you don't need to see the acceleration off July levels to still get to the neighborhood and flat and if you do see that you would probably be up a little bit for the year if I've got the math right there.
Jeffery W. Yabuki: I would expect to see a bit of acceleration or continued increase in order to get to that flat plus or minus that I've talked about in my earlier comments.
Jason Kupferberg: Okay, got it. And just one clarification to wrap up, I think, Frank, you had mentioned that the year-to-date bookings growth is sustainable. So just to put a finer point on that, does that mean it's something in the neighborhood of 20% is in your line of sight for the second half of the year?
Frank J. Bisignano: Yeah, Yeah, I mean you heard us talking about some good wins in July and I expect those to continue we all think its a very strong pipeline and very, very, very, receptive client demands. I mean our clients have commented to us at the highest level relative to how we're serving them during this pandemic.
Jason Kupferberg: Well, great, I appreciate the comments.
Jeffery W. Yabuki: Great.
Frank J. Bisignano: Okay. Well, I'd like to thank everybody for joining us this afternoon. We appreciate your support. If you have any further questions, please don't hesitate to contact our Investor Relations team. And you have a great evening. Thanks.
Operator: [Operator Closing Remarks]